Operator: Ladies and gentlemen, good morning, and welcome, everyone, to the Information Services Group First Quarter 2024 conference call. This call is being recorded, and a replay will be available on ISG's website within 24 hours. Now I would like to turn the call over to Mr. Barry Holt for his opening remarks and introductions.   Mr. Holt, please go ahead. 
Barry Holt: Thank you, operator. Hello, and good morning. My name is Barry Holt. I'm a senior communications executive at ISG. I'd like to welcome everyone to ISG's first quarter conference call. I'm joined today by Michael Connors, Chairman and Chief Executive Officer; and Michael Sherrick, Executive Vice President and Chief Financial Officer.   Before we begin, I'd like to read a forward-looking statement. It is important to note that this communication may contain forward-looking statements, which represent the current expectations and beliefs of the management of ISG concerning future events and their potential effects. These statements are not guarantees of future results and are subject to certain risks and uncertainties that could cause actual results to differ materially from those anticipated.   For a more detailed listing of the risks and other factors that could affect future results, please refer to the forward-looking statement contained in our Form 8-K that was furnished last night to the SEC and the Risk Factors section in ISG's Form 10-K covering full year results. You should also read ISG's annual report on Form 10-K and any other relevant documents, including any amendments or supplements to these documents filed with the SEC. You will be able to obtain free copies of any of ISG's SEC filings on either ISG's website at www.isg-one.com or the SEC's website at www.sec.gov.   ISG undertakes no obligation to update or revise any forward-looking statement to reflect subsequent events or circumstances. During this call, we will discuss non-GAAP financial measures, which ISG believes improves the comparability of the company's financial results between periods and provides for greater transparency of key measures used to evaluate the company's performance. The non-GAAP measures, which we will touch on today, include adjusted EBITDA, adjusted net earnings and the presentation of selected financial data on a constant currency basis. Non-GAAP measures are provided as additional information and should not be considered in isolation or as a substitute for financial results prepared in accordance with GAAP. For the reconciliation of all non-GAAP measures presented to the most closely applicable GAAP measure, please refer to our current report on 8-K, which was filed last night with the SEC.   And now I'd like to turn the call over to Michael Connors, who will be followed by Michael Sherrick. Mike? 
Michael P. Connors: Thank you, Barry, and good morning, everyone. Today, we will review our results for the first quarter, including an early progress report on ISG Tango, our view of what we see as an improving demand environment and our outlook for Q2. As expected, the broader market for technology services remained soft in Q1. Generally, clients are taking longer to commit to new investments as they weigh economic conditions and work through how to deploy AI for their businesses.   As an example, we have two major transactions that were expected to close and begin delivering during the first quarter that were delayed. Overall, spending continues on larger scale transformations and cost optimization programs, and we are involved with many of these, but at a slower pace of implementation with contracts spread out over longer durations. Our pipeline is solid globally, but during this particular quarter, much more difficult to convert.   Now the good news for the market and ISG -- based on our market analysis, client discussions and our pipeline development, the market seems to have bottomed out in the first quarter and the worst appears to be behind us. We are seeing spending coming back slowly and expect further acceleration over the course of the year, macro conditions permitting. Market interest in exploring cost efficiencies through managed services remains at high levels. Additionally, we are now seeing a rise in sourcing activity, and this suggests clients are beginning to balance the desire for cost savings with the need to remain competitive and tech forward.   Now a few comments on AI. AI is a net positive for ISG. Clients are looking to ISG as a trusted independent third-party adviser to guide them in understanding the impacts of AI, planning their AI strategy, establishing guardrails, identifying use cases and building their AI ecosystem. Enterprises have ambitious AI plans but are understandably cautious given the implications of AI and the lessons learned from cloud migration. Our role is to help them with proof-of-concept deployments and then transition to full-scale implementation.   As the market ultimately moved from the planning phase to the execution phase of AI, significant new investments will be made in infrastructure, sourcing and implementation and ISG will be there each step of the way to advise our clients. With regard to our recurring revenue expansion, even in a slower market, we continue to see growth in our recurring revenues, which represented about half of our firm-wide revenues in Q1. Over the trailing 12 months ending March 31, we have generated $126 million in recurring revenues, up 10% from the previous 12-month period. Demand continues for our research, governance and platform offerings.   Enterprises are leaning on ISG for our market intelligence and in-depth research to plan their AI and digital futures and identify market opportunities that lie ahead. The acquisition of Ventana Research late last year has been a positive addition, further elevating our value proposition with enterprise clients, while also opening up new consulting relationships with software vendors and new research opportunities with service providers.   Now a progress report on ISG Tango. As a reminder, just two months ago, we launched ISG Tango, the first fully integrated digital platform to simplify and expedite the sourcing experience. ISG Tango is designed to increase speed to value for clients, improve the speed, efficiency and margins of our sourcing transaction business and expand our addressable market. The feedback thus far from enterprises and service and technology providers has been extremely positive.   Going forward, virtually all of our new sourcing engagements will be run through ISG Tango. Already, more than $2.6 billion of contract value is running on the platform. So good early progress. The macro environment has not been a friend to the industry or ISG this quarter. Yet we are now seeing signs of clients willing to spend more, primarily in the U.S., and we will capitalize on this in the quarters ahead. ISG is ideally positioned to meet this demand.   We have five key differentiators that set us apart. First, we have the industry's deepest technology benchmark and sourcing contract databases. It's a data moat that is difficult to replicate. Second, as the long-standing global leader in advising large transactions, we have raised the bar with ISG Tango, a disruptive platform that gives us the ability to bring our unmatched data proprietary tools and IP to a broader market. Third, we are combining our deep sourcing expertise with our knowledge of AI to help organizations navigate the early challenges of AI and harness its full power at scale.   Fourth, our successful research business is now enhanced by the addition of Ventana Research and combined with our platform businesses, will continue to power growth in our recurring revenue streams. And fifth, through our ISG next operating model and our iFlex delivery platform, we will continue to drive improvements in speed, efficiency, and profitability.   With that, let me turn to our regions, all of which experienced declines in consulting revenues in Q1, in line with the rest of the industry. The Americas generated $41 million of revenue in the quarter, down 16% versus the prior year. During -- despite this, during Q1, we saw double-digit growth in our banking industry vertical and in research. Key client engagements during the first quarter included Western Union, U.S. Steel and Stanley Black & Decker.   During the quarter, ISG won a new multimillion dollar engagement with a spin-off of a large industrial conglomerate. ISG will help the client develop a technology-driven product strategy and operating model, selected ecosystem of providers and ensure long-term value realization. In another win, we expanded our long-term relationship with a major cruise line, signing a $2.5 million contract to support this client in modernizing its infrastructure services across its North American brands. The initiative will provide increased agility and scalability and enhance the overall customer experience. And we signed a new deal with a multinational banking and financial services firm to help this client build a scalable, long-term approach to manage its AI architecture and services and select its AI partners.  Now turning to Europe. Our Q1 revenues of $18 million were down 23% from last year. Still, during the quarter, Europe delivered double-digit revenue growth in our consumer and public sector industry verticals and in our network and software businesses. Key client engagements in Europe in the first quarter included Allianz, BASF, [indiscernible] and Wintershall.   ISG continued to expand our work with a high-tech facilities company. Under our latest agreement were $2.5 million, we are helping the client with a major IT transformation program, covering infrastructure, cloud, workplace, security and applications. We are also working with this client to execute an AI and digital first strategy for the firm's engineering function. We also won a $2 million engagement with a public sector client in Switzerland. We are helping this client develop a new operating model aimed at improving cost and efficiency.   Now turning to Asia Pacific. Our Q1 revenues of $6 million were down about $1 million. Yet we saw double-digit growth in our banking, consumer and manufacturing industry verticals. Key clients in the quarter included the Australian Taxation Office, the Department of Home Affairs, Endeavour Group and Insurance Australia Group. During the quarter, we won a significant contract with a major public university in Australia to support their selection of a new ERP platform provider and systems integrator. The engagement will lead to the modernization of the university's human capital management and finance [mentions].   Now let me turn to guidance. As I mentioned at the outset, we expect the market to accelerate over the course of this year, beginning first in the U.S. as macro conditions improve, the backlog of technology projects builds up and clients further develop their AI strategy. With this view in mind, we are expecting sequential growth for the second quarter, targeting revenues of between $65 million and $67 million and adjusted EBITDA between $7 million and $8 million. We remain confident in our strategy and with some market momentum, we should be returning to our growth and margin expectations as we move through the year.   So, with that, let me turn the call over to Michael Sherrick, who will summarize our financial results. Michael? 
Michael Sherrick: Thank you, Mike, and good morning, everyone. Revenues for the first quarter were $64.3 million, down 18% compared with the first quarter last year. Currency had a modest $300,000 positive impact on reported revenues. I would note that we faced a particularly difficult comparison with last year when we generated our highest quarterly revenue ever. In the Americas, reported revenues were $40.8 million, down 16% versus the prior year. In Europe, revenues were $17.8 million, down 23%. And in Asia Pacific, revenues were $5.6 million, down 20%.   First quarter adjusted EBITDA was $4.4 million, down from $11 million in the year ago period, resulting in an EBITDA margin of 6.9% as compared with 14% in the year ago quarter. ISG had a first quarter operating loss of $2.4 million compared with operating income of $7.1 million in the prior year. Excluding the impact of severance from the workforce actions taken in the first quarter, operating income would have been $0.5 million. Our reported net loss for the quarter was $3.4 million or a loss of $0.07 per fully diluted share as compared with net income of $3.5 million or $0.07 per fully diluted share in the prior year.   First quarter adjusted net income was $0.7 million or $0.01 per share on a fully diluted basis compared with adjusted net income of $6 million or $0.12 per fully diluted share in the prior year's first quarter. Headcount as of March 31, 2024, was 1,561, down 67 positions compared with the prior year, but up 43 professionals from Q4. I would note the sequential change was driven by the addition of Ventana Research employees and resources we assume from a client to support a new recurring revenue training as a service contract. Normalizing for these two factors, our head count was down 109 professionals compared with the prior year.   For the quarter, consulting utilization was 70%, up 555 basis points sequentially from the fourth quarter and down 40 basis points compared with the prior year. Based on the workforce actions taken to date and our expectation of improving demand as we move through the year, we expect utilization to improve from current levels, which will contribute to our expected margin expansion. For the quarter, net cash provided by operations was $2.3 million, a strong $5.7 million swing from a $3.4 million usage a year ago. We ended the quarter with cash of $14 million, down from $22.6 million at the end of the fourth quarter.   During the first quarter, we paid dividends of $2.4 million, repurchased $2.5 million of shares and paid down debt of $5 million. Our next quarterly dividend will be paid July 5 to shareholders of record June 14. We ended the first quarter with a debt balance of $74.2 million, down $5 million from Q4, and our average borrowing rate for the quarter was 7%, up from 6.3% last year. We ended the quarter with 49.7 million fully diluted shares outstanding.   Overall, our balance sheet continues to provide us with the flexibility to support our business over the long term. And importantly, we remain comfortable with our debt-to-EBITDA ratio. Mike will now share concluding remarks before we go to Q&A.   Mike? 
Michael P. Connors: Thank you, Michael. To summarize, after a difficult first quarter, the market is showing signs of improving, and we see growth ahead. ISG is ideally positioned to capitalize on this market with the data product, services and talent to meet client needs and ensure our long-term success. Our recurring revenue businesses continue to grow both in size and share of overall revenues. Research, governance and platforms will remain important drivers of this growth. And we continue to invest for the long term with offerings like our ISG Tango sourcing platform and our enterprise AI advisory services.   Overall, we have a strong business plan and operating model in place to enhance our growth and profitability this year and in the years ahead. As always, we are focused on creating shareholder value for the long term, and we are steadfast in our mission to deliver operational excellence to our clients. So, thank you very much for calling in this morning.   And now let me turn the session over to the operator for your questions. 
Operator: Today's question-and-answer session will be conducted electronically. [Operator Instructions] And your first question comes from the line of Marc Riddick with Sidoti. 
Marc Riddick: So I wanted to follow up on the demand commentary that you had there, Mike. I was wondering if you could sort of -- give us sort of a general idea. I know you mentioned with the Americas, you'd called out banking area as far as some of the areas of strength that you saw in the first quarter. Maybe you could sort of -- is that sort of leading the way as far as what you're seeing in the Americas going forward as far as from a client industry vertical perspective? And then I have a couple of follow-ups. 
Michael P. Connors: Well, first of all, I think as we evolve through this year, Mark, what we're seeing that industry verticals that I think are really, I would call it, picking up some steam would be energy, health care, manufacturing and consumer. Those four areas, I think, over the next few quarters, I think will be hot -- and that's what we're seeing in our pipeline area, primarily in the U.S.   I think I mentioned during the commentary that we expect the U.S. to move at a faster clip than the rest of the world. And that's kind of how we are planning, if you will, the next few quarters. 
Marc Riddick: And then I was wondering if you could talk a little bit about some of the initial early feedback that you're getting from customers regarding Tango. It certainly seems encouraging sort of how it started. Maybe you could sort of talk a little bit about some of the special sauce of Tango, if you will, that's really resonating with the early adopters? 
Michael P. Connors: So first of all, thanks for that. I mean, frankly, we're really pleased with the quick adoption of the [indiscernible] Tango platform. There's really two factors here. Number one is it's a digital platform that connects the enterprise client with the tech providers and ISG, so all three of us. It allows -- it's kind of -- it's an AI-supported kind of software platform that enables all three parties to kind of work together to go from the beginning to the end of the life cycle of a sourcing transaction.   So think about a large enterprise company that's looking to improve their infrastructure or their applications. And we might invite three, four, five different providers to such a transaction. This platform allows all of them to operate, work together. We have a virtual secure data room. It allows us to pull up all of the data and everybody can view provided permissions are granted, all of this information. So, the quick adoption here, we have about $2.6 billion, $2.7 billion now of contract value sitting on this platform just in the first six, seven, eight weeks that we have launched the platform.   So, I think the fully kind of integrated approach, it makes the speed to value for our clients. So, something that may have taken longer because of the process part will be faster for the client to get their achieved savings. So, their speed to value is important. The enterprises who are pursuing these things that can cost them $1 million or more for a pursuit, see it as an efficient and effective way to operate. And then we, as ISG, it is a margin enhancer for us because it does not take as much labor for us to accomplish all the tasks to get to the end zone.   We believe that we'll have a margin expansion as a result of that. So, it's a win-win-win, if you will, for all parties. And that's why we think the early adoption here is going well. So, we'll, of course, monitor this. We expect it, of course, over the first 18 months or so. But we expect, by that time, we'll have nearly or virtually all of our transactions going through this platform. 
Marc Riddick: And then one last one for me, at least for now. Sort of wondering if, Mike, how you're feeling about the potential for acquisitions? Are there any kind of thoughts as to sort of are there things that you'd like to add at this point has certainly got your own new service offerings in the pipeline. But I wonder if you could talk a little bit about maybe sort of what that -- what the acquisition pipeline looks to you right now, valuations, availability of attractive targets and the like? 
Michael P. Connors: You bet. So again, kind of our approach is a string of pearls approach that we've been using for a number of years. We are always in active discussions, and we are as well on areas that we can improve our kind of digital assets and/or recurring revenue streams and use our channels into the C-suite to drive more value, whether that's a Ventana Research or whether that's an enterprise change to put a wrapper around all the technology changes that are occurring in enterprises.   And I would say on a valuation front, I do think the valuation expectations are a little softer today. That's an advantage. At the end of the day, most everything we work on are owner-operated. So, it's a dance, and it's both a financial as well as a relationship type of acquisition. And so, they do take time, but that's how I would describe the environment right now, Mark. 
Operator: And your next question comes from the line of Dave Storms with Stonegate. 
David Joseph Storms: Hoping I could ask about the demand in the pipeline, kind of how you're thinking about how pent-up it is. When that demand starts coming back, do you anticipate that it's going to come back in a wave or more in a steady flow pay with clients remaining a little hesitant as things get onboarded? 
Michael P. Connors: So Dave, the pipeline is really pretty strong. I think I don't expect it to have a dam burst. I do think it will be a measured timing. What we are seeing is, A, the pipeline is strong and all things still around transformation and optimization with the emphasis on optimization, and we see that being informed by the number of sourcing transactions that are now coming through our pipe.  What I think will happen is it will be a measured approach. They're asking us to spend more time upfront. They're asking us to take more time for the execution. And it's kind of a little counterintuitive because you would think that if I can save money, you want it as fast as you can. On the other hand, it also costs money to save money. And so, they are using a more pace, a more measured approach. And so, things are taking a little longer. The good news is with our platform, if it's a sourcing transaction with Tango is it -- can move as fast as the client wants it to. But again, we will just have to follow the lead of the clients.   So we like our pipeline. We would love to have it burst out at a faster speed, but I think it will be measured. I do think the U.S. is going to see it at a faster clip than the rest of the world. 
David Joseph Storms: You were able to bring in operating expenses, both sequentially and year-over-year. How much more room is there to bring those in? And what of that is reliable going forward? 
Michael Sherrick: So obviously, the big lever that remains is utilization. And as our utilization improves, as I noted throughout the rest of this year, we'd expect to continue to see benefits to the gross margin, right? We should be able to drive revenue without material change in the direct cost. 
Operator: And your next question comes from the line of Joe Gomes with NOBLE Capital Markets. 
Joseph Gomes: I just wanted to take a step back here for a second and kind of see, maybe you can give us a little bit of color here. You released fourth quarter at the first week of March. At that point, the guide was for $65 million to $67 million in revenue and adjusted EBITDA of $6 million to $7 million. And just trying to figure out what happened in the last three weeks of the quarter that adjusted EBITDA came in at $4.4 million. So just looking for a little more information there. 
Michael P. Connors: Look, primarily, it was around a couple of projects that we expected to start complete and recognized during the first quarter. And two of those projects did not only not get started, completed and recognized. One of them actually got pushed out until the month of June. One of those is a gain share that we don't recognize until everything is done and signed. And so that did not make it into Q1. And so that was also a factor. So, we always do the best we can with the most information that we have at the moment. We expected something to close and deliver and recognize that did not happen in Q1. That's the reason primarily, Joe. 
Joseph Gomes: And then last quarter, you talked about you're bullish on the public sector. I'm just trying to get your feeling for today. 
Michael P. Connors: So the public sector, let me start with the U.S. is -- the public sector is growing. So, the public sector grew not a large amount, but did grow in the first quarter. What we are seeing there is there is a lot of interest and exploration around AI in the public sector, and they're not the first to adopt almost anything. But they are very interested in exploring, creating some POCs -- proof-of-concept type area. So, we are helping a few states in that regard. There's also some work going on up in some of the Northeast states that we're operating in. They want us to help them understand the guidelines, the guard rails around the use of AI and who would be liable and how would it happen if they introduced it into their motor vehicle system or if they introduced it into their toll system.   So it's created a new demand area for us, which fits in perfectly with our AI advisory business. So we're seeing a pickup in that area here in the U.S. I expect the Australian government just kind of going around the globe to be a little sluggish for a few quarters because they kind of go in cycles and when they go in cycles, they go in big chunks. There's not any larger kind of RFPs in the system at the moment. They usually sometimes will skip a quarter or so. But that's how I would see the Australian government. So that government work there, I think, could be a little sluggish for a quarter or two out that part of the world.   And then in Europe, we're seeing some good strength in Italy, some a little less strength in Europe, and we're seeing some strength now in the German market. So that's how I would describe the overall market. The only exception in Australia was the -- we got a large deal with a large university in Australia as they want to kind of retool their whole human capital and financial systems. So that is a project that will begin late this quarter. So that's kind of how I going around the globe on the government side. 
Joseph Gomes: And just one more on Tango since it is so exciting here. Can you kind of size the number of clients that are using the platform today and maybe kind of revenue generation you see coming from Tango? 
Michael P. Connors: Look, a couple of things. We're not going to talk about the exact number of clients on Tango. We'll talk about it in terms of contract value, but I will put it in this context. The sourcing component of our business, which is really the foundation of how ISG was built. Think about it on a revenue standpoint. It's kind of in the one-third of our business -- type area. So, if you think about it that way, and you have 900 clients, that's one way to look at it, Joe. 
Operator: And your next question comes from the line of Vincent Colicchio with Barrington Research. 
Vincent Colicchio: So most service providers seem to say that Generative AI given complexity risk and other related issues, it's taken some time to get started here. There's a handful here and there that's saying they're off to the races, but that seems like a little bit of an exaggeration to me. And I think you're a good measure of where things are. So I don't know, this may not even be a useful question, but it may be useful in a meaningful way. What is your read on when it becomes a meaningful contributor? Is it a '25 issue? 
Michael P. Connors: Yes. So, look, it's a good -- it's a very good question. And let me tell you how we think about it and the context that we think about it in. If you go back to kind of the cloud adoption, call it, 10 years ago and think about how that has matured over the last 10 years. Today, you might see 50%, 55% of the workloads that could go to the cloud are in the cloud today. That's number one to think about 10 years later.   The second way to look at AI is it's new. It's definitely going to be revolutionary. It still requires lots of education and proof of concepts. It requires kind of understanding what it is and what it can do. So, there's a large education component. They need to understand how the information and the data architect would feed into AI models.   And one of the other elements that all of the tech providers that I'm sure you follow Vince as well is there is also a liability question. So, if a technology provider develops a model for Client A, Client A uses that model, and all of a sudden, if it's an insurance company, as an example, something goes awry in their claims using this AI model, who's reliable and responsible parties?  So, there are a lot of guard rails and legalities around the use of AI models that will take a while to kind of sort out. So I think we're in the stage of pilots, proof of concepts. I think the hype is much bigger than the reality, and I think it will be that way for 12 or 18 months. I don't expect to see large amounts of real AI, if you will, differentiators before that time frame.   The other aspect of it is that all the enterprises that we are now dealing with are asking us to consider AI as part of the sourcing transaction that they are doing. And they want to understand from the Accentures and the Capgeminis and all these other providers, how are they thinking about the use of AI? And from the enterprise standpoint, one of the things they want is, well, how can I benefit from a cost standpoint? I don't really want my tech providers to benefit the entirety of that. How do I as an enterprise get value from the use of AI. And that will be ongoing over the course of the next, call it, 12 or 18 months.   But there's definitely the hype is bigger than the actual at the moment, but not unexpectedly so, I think. 
Vincent Colicchio: And then could you highlight the top three practices that should lead growth going forward? 
Michael P. Connors: Well, number one for us is the recurring revenue streams. And in that recurring revenue stream, we have our research. We have our governance. We have our platforms. We have things like our ProBenchmark software platform. We have things like our GovernX platform. So, number one is around our recurring revenue streams. Number two is, I believe that the sourcing component where clients are looking at the sourcing element to help them optimize costs and possibly use some of those savings for growth initiatives will accelerate. We're seeing it in our pipeline right now. So that will be a second area.   And thirdly, the transformation journey is still in a long way to go. So, transformation is still going to be ongoing. The pace of those transformations has been slowed because of the macro cloud. And frankly, I think if we start to see a cut or two in the U.S. from a Fed rate or from the European theater over the course of this year. That might also change the sentiment among some of the client buyers that, okay, maybe the worst is behind us because one day, there's no cuts. The other day, there are cuts. One day is, wait a minute, are we moving toward a recession. The other day is no recession. So, there's a lot of noise out there.   And I think until we see an affirmative kind of movement that will help indicate that, that may help free things up late this year as we turn into 2025. Vince, at least that would be our take. 
Vincent Colicchio: And then one more on the -- related to the sourcing platform. So is there a way for you to parse out business you happen to win on the platform versus -- I don't know if it's too early to tell. To what extent do you think the platform is the cause for the win? 
Michael P. Connors: I think first -- I think that because we are the global leader in sourcing transactions, and we've said this before, we have a greater -- we believe we have a greater than 50% share of that marketplace. Number one, they're going to go to ISG no matter what. That's step one. What the platform enables is that it enables a client then to also understand that I may be able to get time to value much -- or speed to value much faster using the ISG platform, which then enables me to get to my savings at a faster pace, if I so chose.   It also enables the technology providers that we deal with every day to understand that there will be a likely outcome, and that outcome might come a little sooner, and therefore, they might be a little more aggressive in their pricing and therefore, it will benefit the enterprise. So, I think it's the combination that we have the leadership position. We're now adding a nice, strong, efficient and effective platform. Together, I think that is why we will continue to lead in this space. 
Operator: And your next question comes from the line of Michael Mathison with Singular Research. 
Michael Mathison: So obviously, a challenging environment. Just a couple of questions about your income statement in the quarter. SG&A was $24 million. I know that included some severance costs. Can you quantify how much of that was severance and what a good working figure would be for modeling going forward? 
Michael Sherrick: So the severance in the quarter was $2.1 million -- excuse me, $2.9 million, thank you -- was $2.9 million. So, you remove that, you're down around that 21.5% level, and we would expect to remain pretty consistent with that as we look at our outlook for Q2. 
Michael Mathison: Now secondly, coming back to Tango, like everybody else, I'm pretty excited by the possibilities there. Particularly since you're now having your own analysts do their work on Tango, you mentioned you're getting some efficiencies out of that. Your current gross margin is kind of high 30s, 38, 39, 40 sometimes. Do you have any sort of target of what kind of a lift you would get from the increased efficiency? Nothing to pin you on, but are we talking 2:1 or 10%, something like that? 
Michael Sherrick: Yes. I think it's early in the process, Michael. I mean we clearly expect to see better efficiency and therefore, better profitability. But as Mike said, we're still in the early stages, a little over $2.5 billion of volume that's on it. So, we want to really see how it matures and what goes in it before we really put a number against that. 
Operator: And I am showing no further questions. So, I will turn the call back to Mr. Mike Connors for his closing remarks. 
Michael P. Connors: Thank you. Well, let me just close by saying thank you to all of our professionals worldwide for your dedication to our clients and for working together as a global team to drive our long-term success. Our people have a passion for delivering the best advice and support to our clients as they continue their digital journeys in both good times and uncertain times, and I could not be more prouder of them. And I want to thank to all of you on the call for your continued support and confidence in our firm. Have a great rest of the day. 
Operator: And ladies and gentlemen, this concludes today's teleconference.